Operator: Good day, ladies and gentlemen and welcome to the First Quarter 2012 Portfolio Recovery Associates Earnings Conference Call. My name is Brian and I will be the operator on today’s event. [Operator Instructions] As a reminder, this call is being recorded for replay purposes.
 And now, I'd like to introduce to your host for today’s call, Mr. Jim Fike. Please proceed, sir. 
James Fike: Good afternoon. I'm Jim Fike, Vice President of Finance and Accounting for Portfolio Recovery Associates and thank you for joining our first quarter 2012 earnings call. Speaking to you today will be Steve Fredrickson, our Chairman, President and Chief Executive Officer; Kevin Stevenson, our Chief Financial and Administrative Officer, and Neal Stern, our Executive Vice President and Chief Operations Officer of Owned Portfolios. We will begin with prepared comments and follow up with a question-and-answer period.
 Before we begin, I'd like to everyone to please take note of our Safe Harbor language. Statements on this call which are not historical, including Portfolio Recovery Associate's or management's intentions, hopes, beliefs, expectations, representations, projections, plans or predictions of the future, including with respect to the future portfolios performance, opportunities, future revenue and earnings growth, future space and staffing requirements, future productivity of collectors and future contributions of the subsidiaries to earnings are forward-looking statements. These forward-looking statements are based on management's beliefs, the functions and expectations of the company's future operations and economic performance, taking into account currently available information. These statements are not statements of historical fact. Forward-looking statements involve risks and uncertainties, some of which are not currently known to us.
 Actual events or results may differ from those expressed or implied in any such forward-looking statements as a result of various factors, including the risk factors and other risks that are described from time to time in the company's filings with the Securities and Exchange Commission, including but not limited to its annual reports on Form 10-K, its quarterly reports on Form 10-Q, and its current reports on Form 8-K filed with the Securities and Exchange Commission and available through the company's website which contain a more detailed discussion of the company's business, including risks and uncertainties that may affect future results. Due to such uncertainties and risks, you are cautioned not to place undue reliance on any forward-looking statements, which speak only as of the date hereof.
 The company expressly disclaims any obligation or undertaking to release publicly any updates or revisions to any forward-looking statements contained herein to reflect any change in the company's expectations with regard thereto or to reflect any change in events, conditions or circumstances on which any such forward-looking statements are based in whole or in part.
 Now, here's Steve Fredrickson. 
Steven Fredrickson: Thanks, Jim, and thank you all for joining us. Today I will be providing a high level overview of our results and comment on some of the key drivers and trends we're seeing. Neal Stern will then talk in more detail about our operational strategies, Kevin Stevenson will discuss our key financial results and then we'll open up the call to Q&A. Let me open by saying how pleased with the strong results across our company in the first quarter. In addition to significant portfolio purchases and fantastic cash collections, we have real progress to report on our plan introduced last quarter to expand legal collections. I'll have a comment on that in a moment.
 Since we last spoke, we've continued to execute on all facets of our business model. We again reported strong quarterly results across all key line items. Cash collections were up 31% to $218 million largely from our domestic operations. Revenue was up 25% year-over-year to $140.1 million, this includes $4.6 million of revenue from Mackenzie Hall. Net income increased 10% year-over-year to $25.5 million, translating into earnings per share of $1.47 compared with $1.34 in the first quarter of 2011. And this result was in spite of the significant increase in legal collection costs incurred during Q1. 
 I'd like to turn now to 5 areas where we continue to implement and execute initiatives designed to ensure continued growth through 2012 and beyond. First, an update on our decision to expand legal collections from those who we believe can but won't pay their debt. We're seeing performance from this group better than expected. As we discussed last quarter, we seek to drive a meaningful level of net incremental cash flow from these customers as well as net income to shareholders by investing more in court costs. Less than 3 months ago, we believed this investment would have an attractive return targeted at about 2:1 with an expected payback of 6 to 12 months and significant profitability thereafter.
 I'm pleased to say that we're ahead of expectations. We saw a softer impact to earnings than expected by handily exceeding our internal projections for cash collections on this front. Neal and Kevin will provide you with more details, but I believe our first-quarter experience is a positive indicator of what is to come. 
 A second area of emphasis continued discipline in our purchasing decisions as the market for charged-off consumer debt and bankrupt receivables remains competitive. We had a particularly strong quarter, acquiring $1.46 billion of face value finances for $111.4 million dollars. These receivables were acquired in 91 defaulted debt portfolios from 16 different sellers. Pricing continues to be quite competitive and trending upward in both the direct from issuer and resale markets. Third, we remain focused on keeping the expense line in check with any meaningful increases being attributed to investments for future growth. 
 Fourth, we're making progress in expanding our operating model. Revenue from our fee-for-service businesses slightly improved year over year largely due to growing tax and fee revenue discovery for clients of our government services businesses and the inclusion of Mackenzie Hall in our fee results. We are deep into integration of the Mackenzie Hall, our newly acquired debt collection and purchase group operating throughout the U.K. We continue to be very pleased with our acquisition, and the Mackenzie Hall team. Neal will have more to say about how we are introducing our processes and systems to improve Mackenzie Hall efficiency and implement the best practices. We look forward to the growth and diversification opportunities that Mackenzie Hall provides shareholders.
 And fifth, an update on the share repurchase program authorized by our Board of Directors. While contending with quiet periods surrounding first quarter earnings, we have purchased to-date 100,000 shares at an average price of approximately $68 per share. Before I turn the call over to Neal, let me add we have seen little in the way of developments under regulatory and legislative front over the past 2 quarters. We continue to engage in proactive dialogue with various organizations and committees at the federal and state levels.
 In closing, this was a very strong quarter, and we continued the momentum we generated in 2011. But let me reiterate that our focus remains on future and implementing measures for sustained growth and success in 2012 and beyond. Now here's Neal Stern. Neal? 
Neal Stern: Thanks, Steve. Our first quarter results generally benefit from the strong seasonal performance associated with tax refunds. That was again the case this year but our performance exceeded those seasonal expectations, primarily as a result of strong performance from our legal collections which increased by 42% over the same quarter last year.
 External legal collections finished 37% higher and internal legal collections were up by 50%, internal legal collections accounted for 40% of our total legal collections, which was up from 38% in the first quarter last year. The strong performance from our legal channel was in part due to the increased spending on court costs that we discussed on our last earnings call. As planned, we increased our spending on court costs by just over $14 million over the same quarter in the prior year. As we stated last quarter, it was our expectation that we could move from having approximately 5% of our portfolio and our legal channel to 8% and deliver a 200%-plus ROI on the incremental court costs that would be required by the strategy change.
 We also stated that it was our expectation that we could recoup our costs within 6 to 12 months after making the investment. In Q1, we exceeded our internal expectations for cash collections from the incremental legal costs by more than 20%. While we cannot be sure as to whether or not these excess cash collections represent an acceleration or an actual improvement to our longer-term cash collections, it does seem apparent that our revised legal scoring models and assumptions will sustain our historical track record of generating strong results through an ongoing commitments to improve account scoring and segmentation.
 In our last earnings call, we also detailed our intention to expand legal court costs in the first quarter of 2012 to $24 million and then reduce our court costs to $14 million over each of the remaining quarters of 2012. Given our increase in confidence in our legal models and our strong execution to date, we'll increase our legal costs accordingly. Kevin will provide more detail on that in a moment but I want to emphasize that this strategy change has not altered our philosophy about how and when to pursue legal collections. We'll continue to only file lawsuits on the minority of accounts where we have attempted to collect in our call centers, identified an asset and have not been able to compel the account holder to pay.
 In other words won't pay is not can't pays. This philosophy differs from many of our industry peers and is most evident when absorbing the percentage of accounts selected for this treatment and when absorbing the length of time between the purchase date and the date of collections lawsuit. It remains our stance that this approach delivers the most fair collection experience and the most profitable results over the longer term. 
 Cost of our cash collections were also strong in the first quarter and were bolstered by the increased staffing that we added in the fourth quarter of 2011. Total paid hours were up by 21% over the prior which was the largest year-over-year increase in the last 4 years. These added hours normally dampen collector productivity, but increased efficiencies negated most of the impact and allowed us to finish within 1% of the productivity results from Q1 of last year. Kansas remained our top-performing call center in Birmingham where we had added the most stuff, was our least productivity but improved nicely over the prior quarter.
 In the first quarter, we received just over $1.9 million payments, which was $439,000 or 30% more payments than we received in Q1 of 2011on the number of payments had increased by 63% over 2010. For the first time in several years, our average payment size remained flat for the quarter over the prior year. When paired with the healthy increase in monthly payments, our cash collections can be most meaningfully improved. 
 Finally, I want to talk very briefly about our ongoing efforts with the Mackenzie Hall. In the first quarter, we did make modest new portfolio purchases in the U.K and expect to grow their purchasing activity as we becoming increasingly comfortable with our data sides. We did make meaningful progress in organizing data so that we can begin to build models and strategies. We were also able to begin sharing best practices between our call centers, and as part of that effort we had one of our more experienced call center managers from the U.S. join Paul Mackenzie's operational team as they seek to further sophisticate their operating strategies. 
 Also during the quarter, McKenzie Hall purchased and installed a new predictive dialing system that should give the business significant productivity lift. Both Scottish and U.S. dialer strategists are working on designing new programs that will provide meaningful productivity gains. The overall results from these efforts were extremely positive and we remain confident that there will be an opportunity for us to leverage our core competencies to an even greater extent as time goes on.
 With that, I'll turn the call over to Kevin Stevenson. Kevin? 
Kevin Stevenson: Thanks, Neal. Hopefully, most of you in the call had an opportunity to review our earnings results that were released earlier today. I'm going to run through some of the key items and I plan to leave plenty of time for Q&A. I would note this comparisons I'm about to make are between the first quarter 2012 and first quarter of 2011 unless otherwise noted.
 Total revenues grew 25% to $140.1 million, up from $111.8 million. Revenue was comprised of $124.2 million in net finance receivables or NFR revenues and $15.9 million in fee revenues. The $124.2 million in finance receivable revenue for the quarter included $83.7 million in core portfolio revenue, including an allowance reversal of $500,000 and $39.5 million in bankruptcy portfolio revenues, net of an allowance charge of $1 million.
 Net core portfolio revenues increased 34% while net bankruptcy portfolio revenues increased 23%. Our fee for service business revenue of $15.9 million was a slight improvement over first quarter 2011, accounting for 11% of the company’s revenue. Fee income from Mackenzie Hall, plus year-over-year increases from our government services area offset the year-over-year decline in fee income from location services and CCB. During the quarter, we reported approximately $1 million in finance receivable revenue from our foreign operation Mackenzie Hall and approximately $3.6 million in fee-based revenue. 
 The company’s quarterly operating expenses increased 38.6%. This increase was largely the result of our $23.7 million in court costs and document expenses for legal collections. These court costs and legal document expenses are costs that we incur to file a lawsuit on those accounts that, as Neal has repeatedly mentioned, represent people who won’t pay; in other words, people that we believe have the ability to pay, but not the inclination. It is our accounting position that the court costs represents in operating cost that is paid to the court at a point in time to provide a service, mainly permitting us to file the lawsuit in the court. For that reason, we expense these costs as incurred and do not capitalize them.
 Last quarter, we talked about our estimated increased expenditures in legal collection costs and documents. As you can see from our results, we hit our first quarter estimate of $24 million on the nose. Additionally, we commented last quarter that we were planning to spend $14 million in court and document costs during each of the last 3 quarters of 2012. As Neal mentioned, based on our legal collection success, we intend to incur additional court and document costs of $4 million in Q2 and in Q3, bringing our total estimate to $18 million for each of those quarters. We continue to project costs of $14 million in Q4. Again, it is our expectation that we will recoup these costs within 6 to 12 months post investment.
 Operating income was $44.4 million compared with $42.7 million, an increase of 4%. Our operating margin was 31.7% for the quarter. Excluding all our subsidiaries, the operating margin would have been 36%. As a reminder, amortization expense related to acquired intangibles is expected to be approximately $1.5 million per quarter in 2012, of which approximately $450,000 is related to Mackenzie Hall. Net income of $25.5 million was up 10% from $23.1 million. And diluted earnings per share advanced to $1.47 compared with $1.34.
 Looking at the balance sheet, our balance sheet remains strong. Cash balances end of the quarter at $28 million. During the quarter, we invested a $111.4 million in 91 defaulted debt portfolios from 16 different sellers. This represented $1.46 billion in face value and included $56.9 million of bankrupt consumer paper and $54.5 million of core consumer debt charged off paper, which includes Mackenzie Hall activity.
 The Net Finance Receivable balance increased to $945 million, up from $867 million. The NFR balance is the amount of unamortized purchase price of acquired debt portfolios that is on our balance sheet. Our debt-to-equity ratio at quarter end stood at 43%, down from 57%. Our debt-to-equity ratio including the net deferred tax liability was 74%. Please note that our deferred tax liability was up about $15 million from Q1 of 2011 while our line of credit during that same time decreased by $25 million. Also notice that our deferred tax liability was relatively flat to year-end 2011. After March 31, our line of credit availability was $142.5 million. In April, working with our bankers, we increased our line of credit facility by $51 million to a total of $458.5 million. Our existing lenders provided $41 million of the increase while $10 million was provided by a new lender. 
 As Steve mentioned, our Board previously authorized, during the first quarter, the implementation of a share repurchase program of up to $100 million of our common stock. To-date, we have repurchased 100,000 shares at an average purchase price of approximately $68. I would again remind everyone that our strong operating cash flow provides us with flexibility to opportunistically use this program, to enhance shareholder value and take advantage of market displacements should they develop. And our expanded line of credit provides us with the ample funding for portfolio purchases and other business opportunities.
 Finally, let me turn to other data. Return on equity was 16.7% in the quarter, down from 18.3%. The decrease was largely due to the expense related to our expanded focus on legal collections and the resulting increasing court and document costs, as well as one-time charges relating to the acquisition of Mackenzie Hall of approximately $500,000.
 Cash collections on the finance portfolio has increased 31% to $218 million in the quarter, while experiencing positive seasonal trends that typically occur during the first quarter. Cash collected on fully amortized pools was $8.5 million compared with $10.6 million. This quarter’s principle amortization rate was 43%, the same as in full year 2011.
 With that, we’ve completed our prepared comments, and would like to open the call up to Q&A. Operator? 
Operator: [Operator Instructions] And your first question comes from the line of Hugh Miller from Sidoti. 
Hugh Miller: Was wondering if you could just talk to us a little bit about some of the -- you gave us a little bit of language on the pricing of portfolios out there in the market in both the direct and the resale market. But I didn’t kind of catch the language you were saying about to what extent they may be up and just your expectation about the opportunities to buy receivables in the coming quarter in both of those channels and whether or not you feel as though that might improve in your ability to deploy capital? 
Steven Fredrickson: Well, we continued to see pretty good supply in the direct-from-issuer market. We’ve seen some larger transactions come to market on the resale side so that is a market segment that’s healthier in terms of deal flow than it has been for some time. Despite that, though, pricing competition continues to be pretty keen and our view would be it rose slightly quarter-over-quarter sequentially. 
Hugh Miller: Okay. And can you give us any color on kind of the pricing you're seeing in the resale market and does it seem to be a substantial disconnect between buyers' and sellers' expectations? How was kind of the purchasing competition in that market? 
Kevin Stevenson: I’d say that the characteristics are very similar to the direct-from-issuer market. Most big buyers can go in either direction and so you tend to see a blending of prices from one to the other. We see both compelling prices and, at times, prices that we think are way out of what we consider solid profitability in both markets, so it really depends on kind of deal specifics, Hugh. 
Hugh Miller: Okay. And I guess, so then thinking back on your willingness to go out there and raise the credit availability on the revolver after the quarter. I mean is that more a function of just allowing you to maintain your current purchasing capacity, give you the flexibility to buy back stock? Or do you anticipate that there'll be more opportunities in the coming quarters to deploy capital may be at a faster pace than you normal expected? 
Steven Fredrickson: Yes, I'd say number one, the lending market is loosening up a little bit. And so we're trying to take advantage of that, trying to round the banking group out a little bit. Also we continue to see, as I mentioned, solid deal flow and we want to make sure that we can take advantage of that, especially when larger transactions especially in the resale market might come along. So we're just trying to make sure we're ready to react to whatever opportunities come down the pipe. 
Hugh Miller: Okay.  I appreciate the color there. And it looks like you guys were active in kind of writing up the yields on most of the vintages in the core portfolio in the earlier part of last decade. I assume that it's in regard to the investment in the legal channel and some of the initial performance you're kind of seeing there. But I guess could you talk to us about what gives you the confidence at this point given how soon it is after the investment to go out there and kind of ratchet up those expectations? I mean I guess it also maybe took a toll on some of the 0-basis revenue that you received this quarter which is kind of down on a year-over-year basis and down from as a percentage of collections. But just I guess color on what gives you the confidence to go out there and raise the yields at this point? 
James Fike: Well, Hugh, let me hit the 0-basis collections first. I just feel compelled to hit that one first. The accounting goal really isn't to generate 0-basis collection. The accounting goal is to try to keep your NFR assets on your books as long as possible. So personally, I view that as a bit of a victory, keeping NFR assets on the books longer. But your question's a good one with regards to yield write-offs. Yes, we did move yields up, we moved them up to a nice extent in Q4. We got some dusted off bankruptcy curves and did a lot of work in Q4 and Q1 was just very strong in terms of cash collections. So we didn't so much, though, however, to your point rely on any kind of excess cash from the legal side of the house based on this increased investment. From our perspective, we ended up taking quite a bit of amortization against that investment. So I think our ability to peer inside these deals would tell us that this betterment that we saw in terms of just overall Q1 results was kind of separate in part likely from this legal investment. So we were pretty pleased with the deal performance and accordingly wrote the yields up. 
Hugh Miller: Okay. Yes, because I also noticed that in the core portfolio in the '09, '10 and '11 vintages that you guys were continuing to move those higher. I realize that your goal is to kind of set expectations very conservatively off the bat and then kind of raise them as you see their performance coming in. Would you kind of assess those portfolios especially like in the '09 and '10 vintages as still being very conservatively booked or coming closer towards where you guys would view them as more market value I guess, is one way to put it? 
James Fike: Of course, the answer is always every time we book a quarter we think that's the right place to be, right. But from our perspective, let's put it this way, the deals are still tending to over-perform our results. So we're, hopefully we're narrowing that gap, however, between what is coming in from the operations group versus where the finance estimates are. So we're certainly narrowing that gap, there's probably some more room to go somewhere but we'll have to watch over the next few quarters, especially in light of to the extent it's an older portfolio like maybe an '09 deal that might have some legal benefit from the investments. 
Hugh Miller: Right, right.  Okay. Good color there. And then last question was just with regards to some of the color you gave about the location services. Was wondering if you can give us a sense of kind of the magnitude that on a year-over-year basis that might have been down? I mean obviously, we've seen some improvements in the auto lending market and that there was a lag there until yields start to see some benefit, but your outlook I guess, for that business as we look over and for the rest of 2012. 
Steven Fredrickson: Yes, our outlook is we've taken pretty strong steps to pare back our overhead there and feel as though we've really got cost containment at a strong place now. And the business has as much or more operating leverage in it than it ever has when we are able to feed more revenue into it. So at this point, it's really all about sales, our focus is on sales. And our expectation is that as those increased levels of auto finance work their way through the delinquency cycle and we start to see some more delinquency and repossession from that, that, that business will benefit. But right now it's kind of bouncing along those lows created 18 to 24 months ago. 
Hugh Miller: Yes. And can you talk about maybe historically what type of lag you've typically seen and how we should be thinking about that in terms of the financing change and the potential for improved placements? 
James Fike: Yes, I mean we've never come through a, while we’ve had the business at least, come through a financing volume change like we’ve seen here. But in the past, we did deal with some client loss and turnover and watched as the business turned around with new business coming in. And as I said, this is a business that does have a lot of operating leverage in it and we can see pretty significant swings in revenue and especially net income once we get a little bit more volume going in. So right now, we're very focused on trying to bring in that incremental revenue. 
Operator: And your next question comes from the line of David Scharf of JMP Securities. 
David Scharf: A few things. Wanted to start off on productivity. Did I hear correctly that the total collector productivity at least in terms of dollars per FTE was just within 1% of last year? 
James Fike: Yes. 
David Scharf: And obviously, there's been a substantial increase in headcount. Should we be thinking about the balance of the year being a net-net positive relative to what we saw in 2011 based on what you've seen early on? Because I imagine there's still a awful steep learning curve that kind of dampened Q1 productivity and it was still flat. 
Steven Fredrickson: Yes, I think hours were up 21% or something. So I mean it was a pretty significant increase. And provided nothing crazy happens with attrition, those hours will be sustained for the remainder of the year. But I'm very pleased with our coming in terms of bringing people up the productivity curve and I would expect to say at least level with where we're at. 
David Scharf: Okay, got you. Shifting gears, the allowance charges which retreated quite a bit this quarter and I think there was $0.5 million reversal. We went through prior period of sustained sequential declines in allowances and then they reversed themselves upwards a bit. Is there anything in your internal modeling that’s telling you we should be thinking about sort of the gross level of allowances differing materially from what we just saw this quarter? 
Kevin Stevenson: So the allowance for the quarter was about a $0.5 million charge. It was about $1 million of charge in BK and $0.5 million reversal in core. So for using SOP 03-3 or, I'm sorry, ASC 310-30, the new nomenclature, really, allowance is something we try to avoid. And I just think though with the variability that occurs in this kind of interest method accounting in this particular asset class, I think that they're something that are always going to be there. I've been saying that for, it seems like a dozen years. But they have been retreating and hopefully we can keep them to a dull roar. 
David Scharf: Okay, got you. And shifting to, I guess, the legal investment. So I guess last quarter, you positioned it as sort of cash flow neutral, right? I think about a $20 million increase in court fees to result in $20 million of incremental collections, obviously, with 40%, 45% amortization. It was GAAP dilutive. How should we think about this incremental $8 million on top of that? I mean based on the fact that you materially exceeded your modeling in the first quarter. Would we be expected to see more than an $8 million and more than just a cash flow neutral impact from the second round of increased investments? 
Kevin Stevenson: So Mr. Stern and I have had long conversations about this particular matter. And currently our outlook is that even with this additional $8 million, so $4 million in Q2 and $4 million in Q3, this will still be cash flow neutral for the year. 
David Scharf: Still cash flow neutral, which would imply, obviously GAAP dilutive? 
Kevin Stevenson: Yes, likely so. But again it gets really complicated, as you might imagine, going -- now that the program's started and you start getting in to the quarter and again, Neal, I would disclose, that he was some 20% above his expectations. So it’s going to be little more difficult to give you guys any kind of feel, but it'll still be GAAP dilutive likely based on whatever you had going into 2012, probably less so than we had thought in last quarter. So the range was what, $0.30 to $0.50 last quarter; it'll probably be towards the low end of that. 
Operator: And your next question comes from the line of Bob Napoli of William Blair. 
Robert Napoli: The Mackenzie Hall, I guess, when you guys bought that, I think you suggested it would be accretive and I'm just trying to understand, is it accretive? And what are the plans there to ramp that up? I mean, it looks like you paid -- you had, what, $4.6 million revenue, so if you annualize that about $18 million of revenue? 
Steven Fredrickson: Yes, the deal was accretive. We were dealing with a number of one-time costs. We also, as we mentioned, had the implementation of a new dialer there, and so that was, kind of, a less than optimal operating scenario for those guys. We anticipate that we are going to be able to ramp up their buying there nicely and we're hoping that we're also able to help them accelerate performance for clients so that we can attract additional fee for service businesses. We really view this thing for the long run and it’s our toe hold into the U.K. And we think just like entering the bankruptcy market here a number of years ago, that over the long term as opposed to quarter-to-quarter, there's going to be some real interesting growth avenues for us there. 
Robert Napoli: What is your buying -- what did you buy there, what do you expect to buy this year out of the U.K.? 
Steven Fredrickson: Bob, we never talk about buying goals. I can hit -- I should be able to hit any buying goal I ever give the public, right? That we just write checks and make it happen. So we're very reluctant to give you buying numbers. We would like to see, certainly, step up what they’ve done there historically. It'll be modest based on where we're at or in comparison, at least, to our U.S. activity. But we expect from an absolute number based on where they've come from historically to step up the investment pretty nicely over time. And again, we'll let you know every quarter kind of what we're buying in the U.K. and you can watch that develop. I mean it’s going to be a very small impact. 
Robert Napoli: But is the market over there more competitive or less competitive or about the same as the U.S. market? 
Steven Fredrickson: There's no lack of competitors over there, that's for sure. There's a number of well-established, well-performing competitors that seem to have a bunch of capital, but we also think that there's a room for more competition and that’s why we’re over there. And we think relative to size of the market, we can walk away with a decent piece of it over time. 
Robert Napoli: Okay. Moving onto other opportunities, I think you guys have done some looking, some studying of the private student debt market. What are your thoughts on that market? I mean there's obviously a lot of noise these days about looking at it from a regulatory perspective and bankruptcy and things like that. And what have you done in that market and what are your plans? 
Steven Fredrickson: Well, I would characterize our efforts to-date or at least our recent efforts as in the research point. Over the years, we’ve bought a few student loan portfolios. So we do have some experience in the asset class, although not significant. So we’re trying to do a fair amount of homework at this point, talking to participants in that market and trying to become as familiar with the nuances there as we possibly can. 
Robert Napoli: Okay. Last question, your return on equity this quarter was, I mean, not unexpectedly below your target of 20%. Is 20% still a target for you guys? And if so, when would you hope to be there? 
Steven Fredrickson: Well, we had a big part of our arm tied behind our back with our investment in legal. And again, we’re really trying not to manage this company quarter-to-quarter. We’re looking at the long term. We think that those investments we made in legal were very shrewd, again, from a long-term perspective and our goal to achieve and maintain a 20% return on equity remains the same. 
Operator: And your next question comes from the line of Mark Hughes from SunTrust. 
Mark Hughes: Kevin, the 2010 paper seems to be performing quite well in the non-BK category; better as I look at it today than the 2009 paper did at the comparable point. Anything unusual there? Are they benefiting from the stepped up legal investment, some strategy that’s helping you harvest the newer paper better or is this just a good vintage? 
Kevin Stevenson: Well, it’s interesting; I got to give you credit. You pointed that out some time ago that the 2000 tranche is performing quite nicely. I have Jim Fike in here who helps me do or actually does level yield for us and then I review his work and he was kind of shaking his head when you were talking about the 2010 vintage doing well. So there's nothing interesting there that I could point out for you and specifically though with regards to the legal investment, probably a tiny -- not tiny, but pretty small component of that on this legal side right now. But I just think it’s going to be a good tranche and we're just letting it kind of unwind as the time goes on. 
Mark Hughes: Yes. And just going out to 2011, seems like it’s just about as good; it's 50 basis points less good let’s say, but gosh, it's right up there so. And I assume there's nothing unusual about the 2011 paper at this point? 
Kevin Stevenson: Yes, right. And one thing I'll make a comment just in general, I think that the – again, the accounting process, the level yield process is a lot smoother, so to speak, with all these payments that Neal is generating. It just provides kind of a nice, smooth result which makes it easier for us accountants to do our job. 
Steven Fredrickson: And Neal’s operational strategies have been evolving year-over-year and so these newer pools, I would say, are simply more completely benefited by those strategy enhancements over time, so I think that’s definitely a big piece of what you're seeing. 
Mark Hughes: And so time will tell whether it’s an acceleration or a betterment, I guess is the idea. 
Neal Stern: We're always cautious that way, correct. 
Mark Hughes: Yes. And then one final question, the communications expense was, seemed like it was up more so than other expenses, other than legal. Is this a higher level it should stabilize at? 
Kevin Stevenson: In Q1 I think you'll find that our letter expense is always up. We -- tax time is the time of year for us to focus on letters and so that usually comes down sequentially. 
Operator: And your next question comes from the line of Edward Hemmelgarn from Shaker Investments. 
Edward Hemmelgarn: Yes, my other question's been asked, but I did have one.  Are you seeing any or you think there's still any hope of being able to purchase existing portfolios that are out there, I mean as people are exiting the markets? 
Steven Fredrickson: So you're talking about resale? 
Edward Hemmelgarn: Yes. 
Steven Fredrickson: Yes. We look at resale deals every quarter, every month and as I commented earlier, remain optimistic that we're going to continue to see some nice opportunities there this year. 
Edward Hemmelgarn: Do you think that the declining delinquency rate in credit cards, I mean as the companies, the banks have been very good about restricting the availability of credit cards for a number of years, I mean is that really having an impact as to what's available? 
Steven Fredrickson: Well, at this point in the cycle it doesn't seem to be having a huge impact. We're continuing to see pretty solid deal flow. Now certainly, in a volume – or in a vacuum as charge-off rates come down there is ultimately less raw material in a short period of time that's being generated for debt purchasers. We have seen I think an offset to that through a number of competitors exiting the market over the last 3 years, so that's definitely going to be a different demand side of the equation as we go through this next cycle. And I'd say the missing question is going to be what happens to new lending and new creation of those, especially credit card accounts over time in addition to what happens with other asset classes such as student loans, if indeed that becomes a viable debt purchase market. 
Operator: And gentlemen, you have a follow-up question from the line of David Scharf from JMP Securities. 
David Scharf: Just one follow-up, we haven’t talked much about just the overall macro environment. But the average payment size not declining this time around, I mean was this a reflection of anything purposeful on your part? I mean in the past, you've obviously been extending payment periods and we've seen some declines or was this something that surprised you during the quarter and has given you any indications of perhaps a shifting collection environment? 
Steven Fredrickson: I mean it surprised me I guess, only because it’s gone down sequentially for such a long period of time, perhaps I got trained to expect some deterioration. But again, that deterioration was mostly something that was celebrated, because we were improving efficiencies and that was allowing us to dial smaller average balances and reach down lower into our score bands. But in this quarter, with the number of payments increasing as it did, which was still amazing, any moderation in average payment size deterioration and being flat is extremely helpful. So if that sustained, it becomes quite a multiplying effect and something that's very exciting. 
David Scharf: Right, right. But obviously, we're all trying to call a bottom in terms of liquidation patterns. I mean it doesn't sound like you're drawing any broad conclusions though about the consumer arguably improving? 
Steven Fredrickson: No, and just that's one in the row. We'll see how we do next quarter. 
Operator: And ladies and gentlemen, that concludes today's conference call. We thank you for your attendance. You may now disconnect your lines and have a nice day.